Operator: Welcome to the first quarter results conference for Vitran. I will pass the call over to Vitran’s CEO, Richard Gaetz. Mr. Gaetz, go ahead. 
Richard Gaetz : Thank you. Good morning everybody and welcome to Vitran’s first quarter 2010 conference call. I am joined as always today by Sean Washchuk, Vitran’s Chief Financial Officer. I am sure by now you have all read the press release from late yesterday afternoon regarding the results of our most recent quarter. Although we are clearly not where we want to be, the quarter was one of progress and improvement in many areas which I will expand on in a few minutes. Before I talk about the first quarter numbers and some of the corresponding comments I would like Sean to read the Safe Harbor clause and give you a brief overview of the first quarter. 
Sean Washchuk : Thank you Rick. This call contains forward-looking statements within the meaning of the United States Private Securities Litigation Reform Act of 1995 and applicable Canadian securities laws. Forward-looking statements may be generally identifiable by the use of the words; believe, anticipate, intend, estimate, expect, project, may, plan, continue, will, focus, should, endeavor or the negative of these words or other variations of these words or comparable terminologies. These forward-looking statements are based on current expectations and are naturally subject to uncertainty and changes in circumstances that may cause actual results to differ materially from those expressed or implied by such forward-looking statements. Such forward-looking statements involve known and unknown risks and uncertainties and other factors that may cause Vitran’s actual results, performance or achievements to differ materially from those projected in the forward-looking statements. Factors that may cause such differences include, but are not limited to; technological change, increasing fuel costs, regulatory change, the general health of the economy, seasonal fluctuations, unanticipated changes in railroad capacity, exposure to credit risks, change in labor relations, geographic expansion, capital requirements, availability of financing, claims and insurance costs, environmental hazards and competitive factors. More detailed information about these and other factors are included in the annual form 10-K under “Item 1A – Risk Factors.” Many of these factors are beyond the company’s control. Therefore, future events may vary substantially from what the company currently perceives. You should not place undue reliance on such forward-looking statements. Vitran Corporation Inc. does not assume the obligation to revise or update these forward-looking statements after the date of this call or to revise them to reflect the occurrence of future, unanticipated events. The 2010 first quarter marked the company’s second successive quarter of year-over-year quarterly financial improvement. Revenue, income from operations and EPS for the 2010 first quarter all improved as compared to the 2009 first quarter. Consolidated revenue was $166 million compared to $140 million in the 2009 first quarter. Income from operations improved to $200,000 in Q1 2010 compared to a loss from operations of $2.9 million in Q1 2009. Loss per share was $0.06 compared to a loss per share of $0.17 in the first quarter of 2009. Furthermore, these results on a sequential basis outpaced the 2009 fourth quarter. Vitran’s consolidated operating ratio was 99.9% in the first quarter of 2010 compared to 102% in the first quarter of 2009. The consolidated increases were driven by notable improvements in all three of the company’s operating segments; LTL, supply chain operations and truck load. Interest expense for the 2010 first quarter was $2.1 million compared to $2.2 million in the same quarter of 2009. An increase in bank syndication fees partially offset the benefit of lower interest rate margins on lower total debt outstanding. That being said, with the improvement in the consolidated financial results for the company for the second consecutive quarter we reduced the consolidated leverage ratio thereby earning another 50 basis point reduction in syndicated debt requirements. We will continue to monitor our debt positions and borrowing costs. Income tax recovery for the first quarter of 2010 was $1 million compared to a recovery of $2.7 million for the same quarter a year ago due to the improvement in loss before income tax expense. On a consolidated basis, the company generated taxable losses in the United States which have been recognized as a deferred tax asset. We believe the company will generate sufficient taxable income to use these losses in the future. Cash flow from operations for each of the first quarter’s of 2010 and 2009 consumed $100,000. Albeit, the net loss in the first quarter of 2010 improved $1.4 million. This achievement was offset by the change in non-cash working capital. Significantly higher revenue in March 2010 compared to December 2009 pushed accounts receivable and therefore working capital higher. Average DSO for the first quarter of 2010 was 42.3 days compared to 45.7 days in the first quarter of 2009. Capital expenditures for the first quarter were $2.9 million, the majority of which was the acquisition of a $1.4 million facility in Grand Rapids, Michigan and the balance of the expenditures were for rolling stock and information technology. We anticipate total capital expenditures for 2010 will likely be between $10-12 million. We will continue to monitor our capital expenditure program vigilantly and adjust the expenditures to the results of the company. Vitran concluded the first quarter with a total balance sheet debt of $92.8 million, up only $2.6 million from December 31, 2009. This reflected $3.9 million repaid on our term facility, $1.3 million repaid on our capital leases and $7.8 million borrowed on our revolving bank facility and bank overdraft. Keep in mind the first quarter of every year is the lowest cash flow generating quarter for the transportation industry but builds sequentially throughout the year and we anticipate our debt to be reduced as this cash flow improves. As far as specific business segments are concerned the LTL operations improved revenue $137 million for the first quarter of 2010 compared to $115 million in the first quarter of 2009. The LTL segment posted a loss from operations of just $600,000 versus a loss from operations of $2.7 million in the 2009 first quarter. Although still a loss for the quarter the average daily billed count and tonnage increased significantly over the first quarter of 2009. Rick will expand on this momentarily. The supply chain operations segment posted revenue of $20 million during the first quarter of 2010 compared to $16 million in the first quarter of 2009. Income from operations was $1.4 million in the first quarter of 2010 compared to $421,000 in the same period of 2009. The first quarter operating ratio of 93.2% compared to 97.4% in the year-ago period. This reflects our growth and momentum in the supply chain operations. Our truck load segment showed revenue of $8.8 million in the 2010 first quarter compared to $8 million in the first quarter of 2009. Income from operations was approximately $500,000 compared to $200,000 in the year-ago first quarter. The operating ratio improved to 94.4% in the 2010 first quarter compared to 97.6% in the 2009 period. Rick? 
Richard Gaetz : Thanks Sean. I will attempt to provide a little color to some of these numbers now. As Sean mentioned a few seconds ago the quarter did show significant improvement for us. Revenue was up almost [19%]. EBIT turned positive from a loss of $2.9 million and EPS improved from a loss of $0.17 to a loss of $0.06. So all kind of substantial improvements. I think most importantly we saw sequential improvement throughout the quarter in all segments of our business and I will talk about that in a second. Our small truck load operation, as Sean mentioned, remained consistently profitable. In fact it improved its operating ratio in the first quarter significantly, over 3 percentage points from 97.6 to 94.4. I felt these numbers were particularly encouraging in that we are starting to see some improvement in spot pricing in our truck load business but we have not yet seen that materialize on the contractual side and we hope that follows as the year progresses. Notwithstanding that, this asset-like truck load operation continues to perform reasonably well in an improving, but difficult, environment. Our supply chain operation, as Sean indicated a second ago, had an extremely solid quarter. Its operating ratio was 93.2, a significant improvement over the 97.4 we started last year with. Keep in mind the first quarter in our supply chain business is typically the weakest quarter from a seasonal perspective in the calendar year, generally it builds from here. We are very pleased both with the operating ratio and the $1.4 million of income from ops that our supply chain operation generated. As I have indicated all along here our supply chain business is a retail based business and any type of consumer recovery would generate improved earnings and we are obviously seeing signs of improved consumer spending and the impact it is having on our business in the first quarter. We expect to continue to expand and grow our supply chain business in 2010. Our LTL business, again as Sean indicated, we had an operating ratio of just over 100; 100.5 compared to 102.3 a year ago. Not where we want it, but it certainly continues to improve. Similar to quarter four of 2009 where you may recall we saw solid improvement in our LTL business on a year-over-year basis it remains a long way from where we want it but kind of headed in the right direction. The quarter was hurt somewhat by severe weather in the U.S. particularly in February. The severe winter conditions by and large spread from Texas to New Jersey, which is as everyone knows, pretty much encompasses Vitran’s sweetest spot, if you will. It encompasses our primary territory. Notwithstanding these harsh conditions we saw sequential improvement from January to February which was quite encouraging given the environment and again into March. So our quarter improved sequentially from January through March. Most encouraging was the March LTL operating ratio of 96.3. It was our best month in our LTL group since June of 2008. So quite some time. I would like to remind everybody that March is indeed a 23 day business month and results should be better. However, I think we are starting to show that with improved density or improved volume levels we can turn the corner in our LTL business and I am going to speak more about price in a couple of seconds. Our year-over-year shipment and tonnage costs improved for the fourth quarter and that improvement continued and the momentum actually increased in the first quarter of 2010. The fourth quarter was the first quarter we saw year-over-year improvement. On a year-over-year basis, shipments in our U.S. LTL business were up 9%, 9% and 12% for January, February and March respectively. Our tonnage comps for those similar three months were up 12%, 12% and 17%. Our average length of haul which I think is one of the most significant indicators that our integration is working and solid and customers are embracing our single entity expanded territory, our average length of haul as everyone knows grew 22% in 2009 grew another just over 2% to 584 miles in the first quarter of 2010. As those of you who were on our fourth quarter conference call may recall, we indicated at that time we were going to attempt to start moving pricing. What was going on kind of had to stop. I can tell you now that the bleeding has stopped from a pricing perspective. We are asking for and are getting price increases. In fact, we saw the pricing erosion in the organization come to kind of a full stop in February and we actually saw a very small sequential gain in real yield, non-fuel adjusting for mix. In real yield we saw a very small sequential gain for the month of March. We expect a similar small, sequential gain and improvement in yield for the month of April. We are being extremely cautious, logical and we are trying to be sensible as it relates to the pricing environment. We are every day going after price increases. We have walked away from some business in the past month and a half. However, our growth rate in April remains at a low double digit pace so we are very comfortable with the balance right now between growth and moving price. Our view is quite simple on this one. Tonnage and density will obviously have a positive impact on our bottom line as we kind of proved out in the month of March in a 23 day month. But we must begin to charge a reasonable price for a good service if we are going to restore the company to an acceptable level of profitability and we are committed to doing that. The continuation of the improved results in the first quarter have triggered, as Sean indicated, for the second quarter in a row a 50 basis point reduction in our interest rate on our senior debt. So another kind of meaningful step forward as it relates to our earnings and long-term EPS. We will continue to manage the balance sheet as Sean also indicated as prudently as we can and we expect to reduce total debt marginally in 2010. On balance, we are pleased with the continued progress in the company. We are encouraged that our model is working and attractive to our customers and it appears the pricing environment clearly is slowly changing. At this point I would like to turn the call back to the operator and ask for any questions you may have. 
Operator: (Operator Instructions) The first question comes from the line of Jack Waldo – Stephens Inc. 
Jack Waldo – Stephens Inc. : In your press release you mentioned that your March LTL OR was 106.3%. Is that right? 
Richard Gaetz : No. Our LTL OR…no. Our operating ratio for March in our LTL business was 96.3%. 
Jack Waldo – Stephens Inc. : In March? 
Richard Gaetz : In March. 
Jack Waldo – Stephens Inc. : So if I look at the math does this imply you did about 104 operating ratio in January and February? 
Richard Gaetz : On a consolidated basis, yeah you would be kind of in range there. 
Jack Waldo – Stephens Inc. : So if you have an 800 basis point swing in OR how does that compare to previous first quarters? Does that surprise you to see that big of a swing? 
Richard Gaetz : Well, obviously March should be the strongest month of any first quarter but the swing was bigger than we would have normally…clearly it was bigger than we would have normally experienced for sure. I think a bit of that was the 23 day nature of the month. I think a bit of that was obviously improvement in the general macro environment and a seasonal boost and we started to see a little bit of price. 
Jack Waldo – Stephens Inc. : How much money do you think you made in March on an EPS basis? 
Richard Gaetz : Our March would have been kind of in the 7-ish range. 
Jack Waldo – Stephens Inc. : 7-ish range? 
Richard Gaetz : Yes. 
Jack Waldo – Stephens Inc. : How have April trends progressed? You mentioned the pricing. What about on the shipment and tonnage? 
Richard Gaetz : On a sequential basis from March to April our shipment count is going to be up a little bit. Our tonnage is going to be around flat or up a little bit. On a sequential basis, April should be a little bit better than March from a daily activity perspective. 
Jack Waldo – Stephens Inc. : I know you don’t give forward-looking guidance but I am just thinking if you made $0.07 in March and the second quarter estimate is just for you to make $0.08 in the whole second quarter, I guess I am wondering what is going to be different in April, May and June relative to March. I am guessing we just can’t annualize what you did in March to get a number for the second quarter?
Richard Gaetz : You are right. You can’t do that. But there has been progress. I think much depends on can we continue to sequentially improve the numbers from month to month. I think that is an important factor for the second quarter at this point. I would say I think there is a possibility or likelihood that can happen. I think if we continue to improve our pricing number a little bit it could have a positive impact on the quarter. I have to look here but I think May is a 20 day month. It is a short month but it is a good seasonal month typically. So May would be a little tougher month but June like March is a strong month in the quarter. You are right; you can’t just take March and extrapolate it by three months. We would expect the progress, the year-over-year type of progress we have made in the last couple of quarters to continue. 
Jack Waldo – Stephens Inc. : Two housekeeping items. What should we expect for D&A and the tax rate for 2010? 
Sean Washchuk : As our operating ratio improves we will have a higher aggregate tax expense. When we get to around a consolidated annual operating ratio of let’s say around 97-98% we can be looking at a 10-15% tax rate and then it will incrementally move up from there. Depreciation should be around $20-22 million. In that neighborhood. 
Jack Waldo – Stephens Inc. : So the tax rate for going forward should be closer to 30%. Is that a fair number? 
Sean Washchuk : No. The annualized tax rate is around 10-15 if our operating ratio consolidated gets around 97%. 
Operator: The next question comes from the line of David Ross – Stifel, Nicolaus & Co. 
David Ross – Stifel, Nicolaus & Co. : Could you talk a little bit about the sequential tonnage trends? Specifically I know you said January and February was up sequentially but February to March was that 15% better on a per day basis? 10%? 
Richard Gaetz : Shipment count on a sequential basis improved just under from December to January we saw about a 5% bump. From January to February we saw about a 1% bump and that was impacted significantly by the weather. Then in March we saw about just under an 8% bump in March. 
David Ross – Stifel, Nicolaus & Co. : Can you talk a little bit about given the jump up in March and the continued positive trends in April how you have managed labor through the quarter? Kind of did you bring on enough people right away? Are you bringing more people on in April? Was that a positive impact on the OR or negative impact on the OR in March? 
Richard Gaetz : We have brought some bodies on but our headcount quite frankly at the end of March was very similar to where it was at the end of December. Up a little bit. This has been one of my comments recently. I think the reason that price appears that it is starting to move a little bit, I really do believe and maybe I am an outlier here but I really believe there is less capacity in the LTL world than the masses think there is. I think most of us have facility capacity but facilities don’t move freight. Trucks and people move freight. I think that most companies are pretty tight from an equipment and labor perspective and as a result I think there may be a little less capacity generally speaking than most people think there is. We have been very prudent both from an equipment and labor perspective as we will be in the coming quarter as well. 
David Ross – Stifel, Nicolaus & Co. : Could you talk a little about your average fleet age? [Emission] capacity? Where do you stand with having any trucks and parts up against the fence that can come back into service? 
Richard Gaetz : We have brought everything back into service that we had parked. For the last 1.5 years we have been moving the old stuff, the high maintenance stuff, the low mileage per gallon stuff. We have been kind of moving it over on a regular basis. Our average age of tractor is around 6 years. It is about half a year older than ideally we would like it to be. Our average trailer age is around 8 years. It is kind of right where it should be. We are very good from an equipment perspective. We brought in just under 700 new pieces of equipment in the fourth quarter of 2009. So fairly significant bump in our tractor and trailer pools and we are in the process of bringing in some equipment as we speak. 
David Ross – Stifel, Nicolaus & Co. : The equipment you are bringing in now, are those pre-2010?
Richard Gaetz : Yes. 
David Ross – Stifel, Nicolaus & Co. : On the cross-border business, could you give an update on how that grew? Also talk about the possibility of developing a Mexican cross-border operation. 
Richard Gaetz : Our growth rate in the cross-border business was kind of comparable to our domestic growth rates both in the U.S. and Canada so the shipment and tonnage numbers kind of followed those high single digit, low double digit numbers. No, until our priority from a North American perspective is to complete our story and complete our geographic coverage in the United States. There is no Mexican activity on the agenda for us. 
Operator: The next question comes from the line of Arthur Hatfield – Morgan Keegan.
Arthur Hatfield – Morgan Keegan : Thinking about on the go-forward and I know you have talked about this before but as we get back to kind of normalized time for the industry what kind of CapEx number do you think is a good number for you year in and year out? 
Richard Gaetz : I would say approximately as we get back kind of to pre-2006 activity I would say a good number to work with for the size of our company today is around $25 million. In that ballpark. That could vary a little bit depending on real estate opportunities. 
Arthur Hatfield – Morgan Keegan : You have been talking about your activity level, most notably on the shipment count side, you have had a couple other of your peers report and they reported good tonnage numbers but somewhat anemic shipment count numbers. You really kind of outperformed the group so far of those who have reported. Could you talk a little bit about where you are getting that share from? 
Richard Gaetz : I think it is very broad based. I think one of the biggest benefits we have is kind of intrinsic to Vitran is in 2009 we rolled out the single entity geographic territory across North America. We supported that, if you recall in the third quarter we kind of refreshed our corporate logo and at the same time we introduced sales material throughout the organization. So in the third quarter it was the first time we have had common sales information presenting our company the same way, as I indicated before, whether you were in [inaudible] Saskatchewan, Montreal, Quebec, or Dallas, Texas or San Antonio. We were presenting our company the same way. I think the fact that our average length of haul has increased so significantly in the past year is a reflection that our same customers are just giving us more business into our expanded territories. So when I say I think it has come from a little bit from everybody there are some obvious players some pieces would have come from but by and large I think we are just kind of building out our model at the expense of a little bit everybody quite frankly as we expand our relationships with our customers. 
Arthur Hatfield – Morgan Keegan : Let me ask you this then, as you answer that. The answer you give would tell me just your ability to more broadly serve your customers is giving you the opportunity to take share and that is because the existing service you offer your customers is better than what the competitors can offer. 
Richard Gaetz : It is certainly better than what we could offer in the past. These are customers that know us, like us, use us and an existing customer is the easiest sell of any client. You know there is other stuff going on in the market that probably helps all of us out a little bit. Other than that, what I do know and what I can say is we have not been a purchaser of the business. We have not been pricing predatorily. Our yields have been pretty good relative to everybody in the last 6-8 quarters. We are getting increases now. So I know it is not as a result of just simply going out and discounting. 
Arthur Hatfield – Morgan Keegan : Right, right, right. Absolutely. So where you could serve the customer before your service was so good that as you expand your capabilities they want to use you more. As you go forward how do you prevent yourselves from diminishing the service quality you offer your customers over time? 
Richard Gaetz : We have to keep supporting the business. We have to keep investing in the business. As I said earlier people and equipment move freight and backed up by a property and facility infrastructure. We have to continue to make some good decisions as it relates to facilities, equipment and people. We are going to stair step it. We are not going to get ahead of ourselves. We still want to acquire. Obviously we don’t want to acquire today because we would like to make sure the improvement is sustainable in the earnings. We are going to be conservative in that respect. But we still want to acquire. 
Arthur Hatfield – Morgan Keegan : On pricing you talked a little bit about that and what you are seeing. More specifically can you go back and refresh my memory on what you did on the GRI this year? Two, the pricing you are getting is it from a specific type of customer? I.e. an industry-related type of customer or a size type of customer you are getting the most price increases from? 
Richard Gaetz : We took a 5.9% increase January 1 in GRI and that impacted 15-20% of our business. More importantly most recently we kind of started methodically. We went to clients where they retendered their business 2-3 times in the last 12-18 months and kind of beat us up more than we should have been beat up. We started there. Some of these clients have been larger clients and some of them are smaller type customers. I can tell you every day that we are getting increases. We are an LTL carrier and so we have thousands of contracts to get through but we are methodically plowing through them and dealing with our annual renewals as they come up. There is nothing we are not trying to touch or impact and we feel that as long as our growth rate is reasonable we should have the ability to do that. At the end of the day we are not magic. We can’t keep doing things the same way and expect a different result. The activity helps us but we have to change price to get to acceptable operating ratios that people would expect from us. 
Arthur Hatfield – Morgan Keegan : How far below do you think pricing is to where it should be at in an equilibrium environment? 
Richard Gaetz : Around 10%. 
Operator: The next question comes from the line of Jason Seidel – Dahlman Rose. 
Jason Seidel – Dahlman Rose: I wanted to touch a little bit on sort of how the conversations are going with the particular shippers you are going up to. Is it a difficult one to walk up and say we need a 10-20% rate increase or is it because you have been beaten up so much by some of these guys it is not quite as [opposed] as one would assume? 
Richard Gaetz : I think there is a range there. I think clients by and large know that they have had a pretty good ride here for the last couple of years and particularly ones whereby they have had their carrier back up considerably in price. [They know] something has to give. I do believe there is obviously a willingness to talk about price again that wasn’t there a few months ago. I don’t want to make it sound like its easy. It is not easy. We started out and I think I mentioned it in the first quarter conference call, I’m not sure, but we started out by kind of having to change the culture within our company because our sales force and pricing department had been so used to backing up. We kind of had to begin the shift of culture within our company and we got people together and we did that. But to really start affecting price increases you honestly have to be prepared to walk away from a little bit of business. We have done that as well. Again, I don’t want to sound casual about it, arrogant or cocky. We are being very careful. We know where we are in the LTL space. We know our size. Notwithstanding that we know we have to move price to get to an acceptable level of return to justify the type of reinvestment and profit from the business that [we] require. It is a broad gamut. Some push us away. Most are willing to talk about it. 
Jason Seidel – Dahlman Rose: That is a good sign. It is always nice to have a positive sign in the pricing market for the first time in about 2 years. Right? 
Richard Gaetz : Longer. 
Jason Seidel – Dahlman Rose: Can I touch a little bit on the supply chain? Obviously the division continues to perform very, very well with strong growth despite the massive retail exposure. When do we start lapping the tough revenue comparisons and what does the pipeline look like for potential new business for you guys? 
Richard Gaetz : Those are good questions. I think we will continue to see growth there for the balance of this year in our current business. The sell cycling in supply chain is much longer as you would expect than it is in the LTL space. We do have irons in the fire that we hope to bring to fruition. Until they happen they haven’t happened. We like where we are going with the business. We clearly have some momentum. We are developing a retail expertise. We like where we are going with it and we have solid plans for that business over the next five years. 
Jason Seidel – Dahlman Rose: If I go back to I believe Art’s question on sort of where some of your above industry growth is coming from, could the argument be made that because you are growing so strongly in supply chain and you tend to funnel the majority of that business to your LTL network it could be coming from that? 
Richard Gaetz : No. We have had a little bit of growth from that for sure. We can’t deny it. It is a fair comment. No, I think generally it is kind of self-generated in our LTL space. There has been some benefit but it is small. 
Jason Seidel – Dahlman Rose: On the truckload, the margins obviously surprised me a bit. Was there anything in the quarter that would be unusual that might have helped truck load out a bit on the margin side? 
Richard Gaetz : Not at all. Just a little better activity and a little bit of growth. Continued kind of control of costs and a bit of improvement in spot prices. 
Operator: The next question comes from the line of [Gene Larkins] – No Company Listed. 
[Gene Larkins] – No Company Listed: Can you give to me the impact of fuel surcharges for the quarter either absolute or year-over-year? 
Richard Gaetz : Yes I can. Fuel in our LTL Group increased $6 million. Fuel revenue on a year-over-year basis. 
[Gene Larkins] – No Company Listed: Another housekeeping item. Where are you at the number of terminals? Are you about 81-82? Is that right? 
Richard Gaetz : Yes. Right around there in our LTL group, excluding our supply chain group. 
[Gene Larkins] – No Company Listed: You mentioned you are bringing on some equipment right now. Are you leasing that equipment or are you buying that? 
Richard Gaetz : Not sure. I think we will finance this tranche with operating leases but we are not 100% sure at this point. 
Operator: The next question comes from the line of Neal Deaton – BB&T Capital Markets. 
Neal Deaton – BB&T Capital Markets: Kind of piggybacking on the gentleman’s question a moment ago, I know you had anywhere from 14-16 terminals you were trying to dispose of that were for sale I think the last time we checked. Any updates there? Have you sold any of them? Do you have some interest or ones that look like they are going to move? 
Richard Gaetz : We sold our Cleveland facility in the quarter for $650,000. So we moved one in the quarter. We are hopeful to just slowly but surely move a few more this year. The environment I think remains tough for facility sales but there is some tire kickers around on a couple of the properties. We still have about, to your point, 14-15 left. In that range. 
Operator: The next question comes from the line of Robert Dunn – Sidoti & Co. 
Robert Dunn – Sidoti & Co. : You mentioned April was up low double digits. Was that shipments or tonnage? 
Richard Gaetz : That was shipment count. I’m sorry, that was tonnage in the second quarter. Shipments will be up as well but probably somewhere in the mid to high single digits. 
Robert Dunn – Sidoti & Co. : So tonnage was up 17% in March and now is up somewhere in the low double digits? 
Richard Gaetz : Yes, it would be somewhere between 10-12%. 
Robert Dunn – Sidoti & Co. : Did you comment at all, I think you said you expected overall debt levels to decline a little bit? Do you care to actually quantify that or maybe even just give some guidance on what interest expense should be? 
Richard Gaetz : Interest expense should continue to fall for the balance of the year based primarily on the benefit we are getting on rates. We would hope to reduce our debt. We would expect to reduce our debt this year somewhere between $5-10 million. 
Operator: Mr. Gaetz there are no further questions at this time. 
Richard Gaetz : Thank you. At this point I would just like to simply thank everyone for their continued interest in the company and we look forward to speaking with you soon. Thank you. 